Operator: Good day, and welcome to the Progress Software Corporation Fourth Quarter 2019 Investor Relations Conference Call. At this time, I would like to turn the conference over to Mr. Brian Flanagan. Please go ahead, sir.
Brian Flanagan: Thank you, Cathy. Good afternoon, everyone, and thanks for joining us for Progress Software's fiscal fourth quarter 2019 earnings call. With me today are Yogesh Gupta, President and Chief Executive Officer; and Paul Jalbert, our Chief Financial Officer.Before we get started, I'd like to remind you that during this call, we will discuss our outlook for our future financial and operating performance, corporate strategies, product plans, cost initiatives and other information that might be considered forward-looking. This forward-looking information represents Progress Software's outlook and guidance only as of today, and is subject to risks and uncertainties. Please review our Safe Harbor statement regarding this information, which is available in today's earnings release, as well as well as in the Investor Relations section of our website at progress.com. Progress Software assumes no obligation to update the forward-looking statements included in this call, whether as a result of new developments or otherwise.Additionally, on this call, the revenue, operating margin, diluted earnings per share and adjusted free cash flow amounts we refer to are on a non-GAAP basis. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP numbers in our earnings release issued today. Also, please note that all 2018 amounts have been adjusted to reflect ASC 606, which we adopted effective December 01, 2018, using the full retrospective method.Today, we published our financial press release on our website. This document contains the full details of our financial results for the fiscal fourth quarter 2019, and I recommend you reference it for specific details.Today's conference call will be recorded in its entirety and will be available via replay on our website in the Investor Relations section.And with that, I'll now turn it over to Yogesh.
Yogesh Gupta: Thank you, Brian. Good afternoon everyone, and thank you for attending our fourth quarter earnings call. As you've seen in this afternoon's press release, our Q4 performance was even better than expected, closing out a very strong 2019. Revenue, EPS and operating margin were all well above the high end of our guidance, and we achieved record free cash flow as well. I'm very pleased with the operational and financial performance of all three of our business segments.Revenue grew 26% for Q4 and 14% for the year. EPS grew 46% for Q4 and 23% for the full year, and 2019 operating margins ended at 38%. These are very impressive results, and I'm extremely proud of the hard work it took to achieve that. The success we're seeing with IPswitch is a large part of the reason we were able to raise and then beat our EPS and margin guidance twice in the second half of the year, demonstrating our ability to create value through acquisition.Our free cash flow grew by $9 million, year-over-year to an all-time high $129 million, and we're expecting 2020 to increase by another $16 million to $21 million. Again, an impressive performance that illustrates our ability to run a highly profitable business with excellent cash conversion. We also returned over $50 million to shareholders in 2019, including another quarterly dividend increase.This was the third year in a row that we have increased our dividend since establishing it in 2016, which is another reflection of the confidence we have in our ongoing cash generation. Overall, our businesses performed at or above expectations throughout the year and with Ipswitch continuing to exceed our revenue projections, I'm very pleased with the momentum that we've built.Let's spend a few minutes reviewing our impressive fourth quarter and full year performance by each of our segments. Starting with OpenEdge segment. OpenEdge is of course our flagship product, and it's still going strong. Our partner business is very healthy, evidenced by the growth we continue to see in the SaaS related revenue we received from partners who sell their applications in the cloud. We also had a solid year from OpenEdge direct enterprise sales, including a very strong finish that helped drive our overachievement in the fourth quarter.Our fourth quarter included expansion deals in the high six figures for several of our larger OpenEdge direct customers. These customers are growing either organically or through acquisition, which results in a need for more licenses for their business critical OpenEdge applications. The largest of these deals was with a large U.S. based mortgage loan provider that was driven by two factors. First, their need for more licenses, because of their internal growth. And second, by their need for additional technologies within the OpenEdge suite, in preparation for their planned upgrade to OpenEdge 12.And then, as I've mentioned many times, one of the reasons for the continued strength of OpenEdge is our ongoing focus on innovation. OpenEdge 12, which was released in early 2019, is the highest performing version we have ever produced, and many of our customers and partners want to take advantage of all the security and performance improvements in this latest release. Upgrades to version 12 therefore, strengthen our business in two ways. First, by supporting our already strong retention; and second, by creating additional revenue opportunities within our existing base. As you know, Ipswitch is now part of the OpenEdge segment as well and continues to perform above our original expectations.Revenue from both our network management and secure data transfer products has exceeded our projections, and both were a large part of our overachievement in Q4. Along with solid sales execution, our ongoing investment in product development has also contributed to Ipswitch's better performance, as we release new versions of both MOVEit, and WhatsUp Gold in the months following the acquisition. As with OpenEdge, and our other products, these development investments enable us to maintain and strengthen Ipswitch recurring revenue and customer retention. I'm also pleased to report that the anticipated $15 million of Ipswitch cost synergies were fully realized by the end of 2019, a full five months ahead of schedule, and contributed to our improved profitability for the full year.Now turning to our DCI segment, I'm pleased to say that it continues to perform as expected. DCI is a very healthy business with an extremely consistent annual contract value. We are the market leader in relational database connectivity, and with many major software companies including 9 of the top 10 BI analytic firms, embedding DataDirect within their products. We also added a significant new OEM earlier this year, a U.S. based multibillion dollar global provider of internet related products and services. This six figure multiyear deal was a marquee win for us, and will contribute meaningfully to the DCI, ACV going forward.DCI was also partially responsible for our fourth quarter revenue overachievement, resulting from a few multiple deals within the quarter. We did a seven figure deal with one of our largest OEMs who increased the term of their contracts from three to five years. Locking in our relationship with this key OEM for an additional two years, makes a great economic and business sense for them and for us.Another DCI deal that contributed to our Q4 overachievement was a new direct customer win. This customer provides economic and financial consulting to government and data connectivity is critical to their offering. DCI beat out several competitors to land a two year deal in the high six figures. This is the largest direct customer deal in DCI's history which is very exciting and proved that DCI continues to be the undisputed leader in premium data access market, by providing the best-in-class security performance and scalability.Our AD&D segment rebounded after a challenging start to the year and continues to be a healthy stable business. Q4 revenues of Sitefinity included a handful of new customers and expansion deals in the low six figures, which are large deals for Sitefinity. And DevTools bookings grew 10% sequentially over the third quarter. Our AD&D products feature market leading innovative technology, with DevTools being the first to market in 2019 with a set of UI components for Microsoft Blazor, which is the new Microsoft framework for DotNet developers and Sitefinity being named a Peer Insights Customer Choice by Gartner for the third time in Q4 of 2019.Overall, -- our businesses are performing well and running them efficiently, while at the same time keeping them healthy and strong are key elements of our strategy. Our other focus area for FY '20 and beyond, is accretive M&A which we project will drive 10% to 20% annual inorganic revenue growth and increased scale and cash flow.We believe that our success with Ipswitch is repeatable, and a strong proof point that this type of M&A will create meaningful shareholder value over the long-term. We're focusing our M&A efforts on companies within the software infrastructure space with products that appeal to both IT organizations as well as individual developers.I want to emphasize that we continue to follow our discipline criteria as we evaluate potential targets. Our pipeline is healthy, and with the current market conditions, we remain confident that we can achieve our goal of doubling the size of our business in five years.2019 was an excellent year for Progress. And looking-forward, we are well positioned for continued success in 2020 and beyond. Paul will provide more details on our guidance for 2020 which will include a full year of results for Ipswitch as opposed to only seven months in 2019. We anticipate that implemental Ipswitch contribution will help to drive total revenue growth of 4% to 5% for 2020, along with another 100 basis points of margin expansion, both consistent with the preliminary expectations we provided during last quarter's call.We will continue to focus on running our business efficiently and anticipate operating margins of approximately 39% in 2020. This represents a 400 basis point improvement versus 2018 levels. An impressive accomplishment that we've achieved by continuing to drive operating leverage across all functions of the business. Going forward, we will continue to target operating margins in the high-30s range.In addition to the increased revenue and profitability, we also anticipate $16 million to $21 million more in free cash flow in 2020, which is a significant increase over 2021. Our increased margins are carefully balanced with continued investment in our business. We've proven over the past several years, that focused targeted spending on products, support and customer relationship management enables us to maintain and grow our recurring revenue and to retain and solidify our customer base.And we continue to seek out opportunities for accretive M&A. We will maintain our shareholder friendly capital allocation policy, which includes both dividends and share buybacks. We remain committed to allocating approximately 25% of our annual free cash flow to dividends and also plan to resume share buybacks in 2020 with the goal of offsetting the annual dilution from our equity plans.So in summary, I'm really proud of the year we've had in 2019. We stayed focused in Q4, finishing the year strongly, and we worked hard to sustain that momentum in 2020. Our businesses are all healthy and Ipswitch is performing even better than expected, which we anticipate will continue this year. I'm very positive on the finance performance which -- we're projecting for 2020 and the opportunity for accretive M&A to contribute to our efforts to drive real shareholder value. I'd like to thank our shareholders again for their support and look forward to meeting with many of you over the next 12 months.You've now, all undoubtedly also seen the announcement of Paul's retirement. So before I hand the call over to him, I'd like to say a few words about Paul's contribution to Progress during his three year tenure as our CFO. Paul has been instrumental in all aspects of our business and operating strategy. In addition to our improved performance -- margin, under our -- under his stewardship, he has played a critical role in our go-forward M&A strategy, and was the major driver behind our capital allocation policy. Personally, I'm sorry, Paul, to see you go. But I certainly understand and appreciate that he wants to move on to a much deserved retirement. I wish you nothing, but the best.I'll now turn things over to Paul to review our Q4 performance in more detail and to outline our financial expectations for Q1 and for the full year 2020. Paul?
Paul Jalbert: Thank you for your fine overview Yogesh. And good afternoon, everyone. As a reminder, all the numbers I'll be referring to in my remarks are on a non-GAAP basis. We're very pleased with our fourth quarter and full year financial performance. For our fourth quarter, total revenue was $123.4 million, $4.4 million above the high end of our guidance rage, primarily due to the higher than anticipated IP sales of OpenEdge, Ipswitch and DCI. Our earnings per share of $0.79 for the quarter grew 46% year-over-year. It was $0.04 above the high end of the guidance range.For the full year, total revenue was $432 million, an increase of 14% compared to 2018. Earnings per share was $2.69, up $0.50 or 22% for the fiscal 2018. Working out the consolidated revenue for the quarter as compared to Q4 of last year, Q4 revenue of $123.4 million increased 26% from last year and 27% on a constant currency basis. The year-over-year impact of exchange rates on our fourth quarter revenue was a negative $1.2 million.License revenue of $39.4 million, increased by 39% from a year ago at actual exchange rates, and by 40% on a constant currency basis. The increase was due to the license revenue from Ipswich, as well as a renewal of higher number of multiyear-term OEM contracts within our DCI segment as compared to last year. Maintenance and services revenue was $84 million, an increase of 20% year-over-year at actual exchange rates and 21% at constant currency basis. This increase was primarily due to the addition of Ipswitch.Turning to our full year revenue compared to prior year. Total revenue of $432 million was up 14% versus last year, at actual exchange rates and 16% on a constant currency basis. A year-over-year impact of exchange rates on our full year revenue was a negative $7.3 million. License revenue of $122.7 million increased by 22% from a year ago at actual exchange rates, and 25% on a constant currency basis. The increase was primarily due to the license revenue from Ipswitch, as well as the renewal of a higher number of multi-year OEM contracts within our DCI segment.Maintenance and services revenue was $309.2 million, growth of 11% at actual exchange rates and 12% on a constant currency basis. This increase is again due primarily to the addition of Ipswitch.Turning now to our revenue by segment with all comparisons versus 2018 at constant currency, OpenEdge revenue was $92.8 million for the fourth quarter, up 27% versus Q4 of last year. For the full year, revenue was $322.8 million, up 60% [ph] when compared to last year. Ipswitch is a primary driver behind both, the quarterly and the annual revenue increases. We are very pleased that both the network management and secure data file transfer products from Ipswitch are performing better than we had projected.License revenue from our OpenEdge partner channel continued to be stable with another solid quarter and year with SaaS-related billings from our ISVs who have deployed their applications in the cloud. We also had a strong quarter from our OpenEdge direct enterprises in Q4 with several large deals where customers purchased with stable capacity, as well as added functionality they needed as they prepare to upgrade to OpenEdge 12. For the full year, license sales from these customers grew slightly. Maintenance renewal rates continue to be strong overall over 90% for both Q4 and the full year.Turning to our DCI segment, revenue for the quarter was $12.2 million, more than double the revenue in Q4 last year. We have projected a significant year-over-year increase based on the scheduled renewals of our multiyear OEM deals. But during the quarter, we also expanded the term with a significant OEM contract and signed a new direct customer that will contribute -- contributing to better than expected revenue for Q4. DCI revenue for the full year was $40 million, an increase of 73% versus 2018.As a reminder, our results can fluctuate quarterly and annually for the DCI segment, due to the timing of OEM renewals to the associated accounting treatment under ASC 606. We benefited in fiscal 2019 from the timing of these multiyear renewals, but 2020 revenue will be lower due to the smaller number of scheduled renewals making our year-over-year comparisons for DCI more challenging. As we discussed throughout the year, we believe annual contract value remains the most effective way to evaluate our DCI data.We continue to expect ACV to be $32 million to $33 million for 2020 consistent with our actual performance in 2019. For our AD&D segment, revenue was $19.6 million for the quarter, up 1% compared to Q4 of 2018. Revenue for the full year was $76.5 million, a 2% decline versus 2018. As expected, total bookings were $21.7 million for the quarter, essentially flat to Q4 of last year and $78.1 million for the full year, down 4% versus 2018.Now turning to expenses, total cost and operating expenses were $76.1 million for the quarter, up 13% from Q4 of 2018, a $269.7 million to the full year, up 10% versus last year. The increase for both Q4 and the full year is due primarily to the addition of Ipswitch, partially offset by lower expenses, due to efficiencies we continued to realize in our business.Expenses were also low in Q4 as a result of our decision to decrease the investment in our Kinvey pipeline. As I noted, during last quarter's conference call, in light of our reduced expectations in this area, we assess the carrying value of the associated intangible assets, and recorded a charge of $24.1 million in Q4 that impacts our reported GAAP results.Operating income was $47.3 million for the quarter, up $16.3 million or 53% versus Q4, 2018. For the full year, operating income was $162.3 million, an increase of $28.3 million or 21% versus last year. In Q4 2019 operating margin was 38%, up almost 700 basis points from Q4 of last year. For the full year, operating margin was 38%, a 100 basis points higher than our expectations and an improvement of more than 200 basis points from 2018. Q4 EPS was $0.79, $0.25 higher than last year, and full year EPS was $2.69, a $0.50 improvement versus 2018.Moving on to a few balance sheet and cash flow metrics, the company ended quarter with a strong balance with cash, cash equivalents, short-term investments of $174 million. Our debt principal balance at the end of Q4 was $297 million. DSO for Q4, 2019 was 56 days, up three days sequentially and nine days versus Q4 of last year. Our AR balance increased significantly at the end of the year due to the timing of billings during Q4, and as a result, we anticipate higher collections in fiscal '20.Deferred revenue was $177 million at the end of fourth quarter, up $41 million compared to Q4 of 2018, due primarily to the addition of Ipswitch deferred revenue balances. As a reminder, our deferred revenue balance does not include Ipswitch preacquisition deferred revenue, which is eliminated in purchased accounting under GAAP. We include this revenue in our non-GAAP results and guidance to better reflect our true business performance. Adjusted free cash flow was $37 million for the quarter, compared to $23 million in Q4 of last year, and a record high $129 million for the full year compared to $120 million in 2018.I'd now like to turn to our business outlook and guidance for 2020 which is consistent with the preliminary outlook we provided during our last call. In fiscal 2020, we will continue to strengthen our stable high margin core business while also pursuing accretive acquisitions. With that said, our 2020 guidance does not incorporate any additional acquisitions. With that in mind, we expect 2020 revenue to be between $448 million and $455 million, an increase of 4% to 5% in 2019 in both actual exchange rates and on a constant-currency basis. We anticipate the currency translation impact on our 2020 revenue is approximately negative $600,000.The year-over-year revenue increase is driven by the following. First, a full year revenue contribution from Ipswitch versus only seven months in 2019. Second, flattish revenue from our OpenEdge and AD&D segment. And lastly, although we expect ACV deal for our DCI segment will remain unchanged for fiscal '20 at $32 million to $33 million, I mentioned earlier, we do anticipate a year-over-year decrease in DCI revenue of approximately 17% due to the timing of OEM renewals.Turning to EPS, we expect full year earnings per share of $2.87 to $2.92, an increase of $0.18 to $0.23, or 7% to 9% versus 2019. The anticipated currency translation impact on our 2020 EPS is not material. Our EPS guidance reflects the following. First, excluding the impact of Ipswitch, we expect lower operating expenses for 2020 compared to 2019. Second, we expect a tax rate of approximately 20%, slightly higher than our 2019 guidance.And finally, our 2020 EPS guidance includes the impact of $60 million of share repurchases we are targeted to complete by the end of 2020. We continue to believe that share repurchases provide a solid, largest return to shareholders and consistent with our capital allocation policy, our target is to buy back shares at a level sufficient to offset the annual dilution from our equity plans.Of course, we have the additional flexibility to increase, reduce and suspend buybacks depending on the size and timing of M&A activity, as well as market conditions. We expect approximately $0.03 to $0.04 of our EPS improvement for the full year to be due to the targeted $60 million of share repurchase. We expect our operating margin for 2020 to be approximately 39% an improvement of more than 100 basis points when compared to 2019. We continue to target operating margins in the high-30 range going forward.We are confident in our ability to run our operations efficiently, while also making the investments required to sustain a strong business. Our adjusted free cash flow guidance for 2020 is between $145 million and $150 million, an increase of $16 million to $21 million versus 2019. Our business continues to generate strong cash flows with the significant increase in 2020, driven primarily by improved profitability and higher collections.Turning to our guidance for Q1 2020, we expect revenue to be between $110 million and $113 million, a year-over-year increase of 23% to 26%. This includes an anticipated currency translation impact of approximately negative $500,000. On a constant currency basis, the increase is expected to be 23% to 27%. The increase was primarily due to the addition of Ipswitch, as well as much higher revenue from DCI, which is expected to more than double versus Q1 of last year due to the timing of OEM contract renewals.Although, we expect full year revenue for DCI to decline by approximately 17%, the majority of the impact will be in Q2 and Q3, which are both expected to decrease more than 50% year-over-year. We expect earnings per share of $0.69 to $0.71 for the first quarter, compared to $0.50 in Q1 of last year, an increase of 38% to 42%. This is in part related to the Ipswitch contribution, but also the ongoing efforts to manage our business efficiently as we expect expenses for Q1 to decrease year-over-year excluding the impact of Ipswitch. We expect that currency translation impact on our Q1 EPS is not material.In closing, I'm very pleased with our strong finish for 2019 and our positive outlook for 2020. We achieved better than expected revenue and earnings per share in Q4, and with Ipswitch performing better than our original businesses, we are well positioned to sustain our momentum in 2020 and beyond.We delivered record adjusted free cash flow for 2019 and are projecting a very significant increase for 2020, perhaps, the best indication of our efficient approach to running our company. And we continue to be thoughtful and prudent in making investments that will strengthen our business.And on a personal note, it's been honor and a privilege to serve as CFO, to Progress over the last three years. I'm proud of what we've been able to accomplish in that time. I'm very confident that the company will be in good hands with Anthony taking over as CFO, that Progress is well positioned to deliver on its financial goals for 2020 and create lasting value for its shareholders.With that, let's turn it over to Brian for Q&A.
Brian Flanagan: Thank you, Paul. That concludes our formal remarks for today. I'd now like to open up the call to your questions. And I ask that you keep your remarks to your primary question and one follow-up.I'll now hand over to the operator to conduct the Q&A session.
Operator: Thank you [Operator Instructions]. And we will take our first question from Steve Koenig with Wedbush Securities.
Steve Koenig: Hi. Great. Hey, thanks very much guys. Hey -- with congrats to Paul for a great tenure at Progress and best wishes in your retirement. I hope you get one of those little drinks with the umbrella floating around. That sounds like it would be in runway.
Paul Jalbert: Thank you, Steve.
Steve Koenig: Yeah. So yeah, so I want to ask Yogesh. The -- Yogesh, you made a remark about the upgrades to OpenEdge 12, providing good customer retention, seat expansion opportunities, and additional functionality. Is there monetization upside in terms of functionality expansion from those upgrades or is it more about seat expansions?
Yogesh Gupta: Steve, in general, it is about capacity expansion as needed, and it is about retention. Right, I actually want to talk about retention first, because as you know, keeping that core business stable and keeping them with us and keeping our renewal rates as high as they have been, is really the primary goal of doing what we've been doing on the product side and customer -- customer support side. So, that really is the primary function. Yes, you know it does create the opportunity to potentially get additional revenue opportunities, but primarily through seat expansions.
Steve Koenig: Got it, got it. Okay. And then on the M&A, we know, kind of we have a good idea of what the criteria are, you had a home run with Ipswitch. We know you…
Yogesh Gupta: Thank you.
Steve Koenig: …have a good pipeline ahead. If you -- kind of looking at the state of your progress towards the next deal, do you feel like there's -- is there a material change from 90 days ago, is it still fairly formative? Your remarks sounded like you are confident you'll do a deal this year, maybe just any additional color there you can give us?
Yogesh Gupta: So Steve, as first of all, thank you for your kind remarks about Ipswitch. We -- our goal is to continue to target acquisitions like Ipswitch going forward, which we can then get greater scale and increased cash flow. Our pipeline continues to strengthen. We see potential opportunities for future transactions within the software infrastructure space. Even with the current market conditions, we are so confident that we can execute on this M&A strategy and double our business.As you know, with any deal, I don't want to put a specific timeline down, because that always then creates not a realistic pressure, because it suddenly becomes, are you going to relax your criteria to meet that deadline. So to us the criteria are sacrosanct and so we will stick to our criteria. But despite saying that, I'm confident that we can actually execute on this. So I feel good.
Operator: We'll take our next question…
Yogesh Gupta: Steve.
Steve Koenig: Hello.
Yogesh Gupta: Yeah, Steve, are you still there?
Steve Koenig: Yeah. Okay. I'm back.
Yogesh Gupta: So okay. Thanks.
Steve Koenig: Yeah. Thanks, guys. Yeah, thanks Yogesh. And congrats to you again Paul. Best wishes.
Paul Jalbert: All right, thanks Steve.
Yogesh Gupta: Next question?
Operator: The next is from Matthew Galinko with National Securities.
Matthew Galinko: Hey, guys congrats on the quarter. Congrats Paul.
Paul Jalbert: Thank you, Matt.
Matthew Galinko: Sure. I think you mentioned in the prepared remarks Paul, maybe you invested a little bit in products Ipswitch as they came in or at least you launched a new version of their -- maybe a couple of the products that you highlighted and maybe part of the reason for the outperformance on that side of the business this quarter. So I'm curious how you think about whether you'll continue to invest in Ipswitch? Or are there opportunities to continue driving organic growth in that business?
Yogesh Gupta: So Matt, really good question. There is a little bit of organic growth in that business. The business is ahead of projections that we had. But from our perspective, the investment that we're making is very similar to what we're doing with all of our other products, right which is to make sure that, that business stays strong. We don't see materially growing organically with that product portfolio.So it is truly more about again retention keeping it solid, keeping the momentum going, which we believe we can do. I actually see top line growth primarily coming back from acquisitions. The biggest component of our FY20 guidance in terms of top line revenue growth is the full year's contribution of Ipswitch right, which is offered by DCI, as Paul said, because the timing of OEM deal. So that really is really what is driving it. I -- we continue to invest in it to make sure that the customer stay with us. We keep a competitive product and the business momentum continued.
Matthew Galinko: Okay, thanks. And I guess my follow-up with respect to the large direct DCI deal, can you point out any key factor or factor that got you over the finish line? I think you mentioned that was competitive. So I guess how did you get there? And do you see -- and I guess should we see that as a one off or is that -- which we see that this was maybe a bit of an expansion of the DCI TAM into more direct customers.
Yogesh Gupta: So right now, Matt I don't have enough of a trend to call it a trend. I mean, we don't have enough data point right. But that said, we have the best offering. What won this deal for us was a combination of factors. It was a combination of the depth of the capability of our connectivity. So not just the fact that we have broad connectivity to a very large number of data sources, but the level of connectivity and the depth of that connectivity and capabilities are high. The scalability, performance and security are really the key differentiators there. And really they continue to be why direct as well as the OEM customers continue to use this technology over and over and over again. But I don't see this as a big a change -- driver in changing the trajectory on DCI at this point.
Matthew Galinko: Great. Thank you.
Yogesh Gupta: Okay. Thanks, Matt.
Operator: [Operator Instructions] We will take our next question from Mark Schappel with Benchmark.
Mark Schappel: Hi. Good evening. Let me just start off by saying nice job on the quarter. And Paul, congratulations on your retirement.
Brian Flanagan: Thank you, Mark.
Paul Jalbert: Thank you, Mark.
Mark Schappel: Just a couple of questions here, just going back to DCI. Yogesh, in your prepared remarks, you called out a handful positive developments in that business. And that's a business you typically don't see too many of those. And I was just wondering if you could -- it strikes me that something has changed there. I was wondering if you could maybe address any internal changes you've made at the company in your DCI business?
Yogesh Gupta: I think, Mark we have a continued focus on our core businesses that is DCI or any others. And it is that continued focus. We continue to also come out with new capabilities and invest in those technologies, so all those things help. That said, I do want to be careful and not say suddenly we're going to -- we are seeing a great trend among direct customers. If and when we do, we will share that. But we feel good about the DCI business. It is truly a solid business.As you know, Mark, the direct part of that business is really quite small. So in terms of the overall business, it is a really tiny part of the business. So that would have to move meaningfully for us to then start seeing something that is meaningful to progress as a whole.
Mark Schappel: Great, thank you. And then last quarter, you announced that your operations on Kinvey business were being scaled pretty meaningfully. I was wondering if all the scale back activities have actually taken place yet?
Yogesh Gupta: Yes, they have. We completed those changes. And we still have some investment in that area, Mark, because we do see some opportunities there. But it has been scaled back significantly and our 2020 guidance includes the scale back investment in that area. And so -- yes, all that was completed.
Mark Schappel: Okay, great. And then finally, you called out in your prepared remarks. Your direct OE -- excuse me direct to OpenEdge deal, I was wondering if you just give us some additional color and just maybe repeat your prepared remarks around that deal?
Yogesh Gupta: Yes, so the one that I highlighted was a large mortgage company, financial company that does mortgages. The key there was really -- the large part of the deal was more in the expansion side, because their business is growing. They need more licenses to cover the bigger footprint that they need of the product. There was also a component to it which was related to additional technologies from within the OEC, so that they could get ready to upgrade to OpenEdge 12.As you know, OpenEdge 12 has some not just performance and security, but some additional capabilities and characteristics as well, and so to get full use and full advantage of those, they need to sometimes buy additional products within that suite. So that was an additional sort of cherry on top that we were working in that deal.We also saw some deals with direct customers which were around compliance and those were good deals as well. So OE had a -- OpenEdge had a -- had a good solid Q4 in the direct business. Again as Mark you're well aware that direct business for OE is quite lumpy. It depends on when these customers run into their thresholds and feelings on their capacity and so on and so forth. And so it isn't something that is a steadily repeatable all the time type of things, but we are really happy that whenever it happens, it helps us make sure that it offsets the little bit of churn that happens in inside the OE direct business.
Mark Schappel: Okay. Great, thank you. And Paul, congratulations again on your retirement. That's all for me.
Paul Jalbert: Thank you, Mark.
Operator: We'll take our last question from Anja Soderstrom with Sidoti.
Anja Soderstrom: Hi, everyone, and congratulations on a great quarter and good outlook for 2020 and Paul, good luck with your retirement. There's been a lot of good questions asked already. But I just want to know if you had anything that you could call out the sort of on a geographic basis, if there is anything to call out?
Yogesh Gupta: Anja, thank you very much for your compliments regarding the quarter and the performance. For a overall geographic perspective, as you might be aware, Ipswitch is predominantly a North American business. And so the North America performance and year-over-year growth in Q4 was significantly higher because of that, compared to other regions. Overall, it was a good performance across the board across all regions. We had a solid performance across EMEA, LATAM and APJ as well.
Anja Soderstrom: Okay, thank you. That was all for me.
Yogesh Gupta: Thanks again, Anja.
Operator: If there are no further questions at this time, I'd like to turn the conference back to Mr. Flanagan, for additional remarks.
Brian Flanagan: Thank you all for joining the call today. As a reminder, we plan on releasing financial results for our fiscal first quarter of 2020 on Thursday, March 26, 2020 after the financial markets close, and holding the conference call at the same day at 5:00 PM Eastern Time. And I'll now turn the call -- turn the call over to Yogesh for his closing remarks.
Yogesh Gupta: Thanks, Brian. An excellent 2019 is behind us and we're well positioned for success going forward with continued strong execution and a focus on repeatable accretive M&A. The company is as strong as it has ever been financially and Anthony Folger brings a wealth of knowledge and experience as he moves into the CFO role. He is committed to our strategy and I'm confident he shares our focus on guiding long-term shareholder value.I look forward to introducing him to our investors once he starts out with us in February. And thank you again for joining us today, and I look forward to speaking with you -- the next quarter conference call. Thanks and bye.
Operator: This concludes today's presentation. Thank you for your participation. You may now disconnect.